Operator: Welcome to the Dexterra Group’s First Quarter 2025 Results Conference Call. [Operator Instructions] I would now like to turn the conference over to Ms. Denise Achonu, Chief Financial Officer. Please go ahead, ma’am.
Denise Achonu: Thank you, Chuck, and good morning. My name is Denise Achonu, Chief Financial Officer of Dexterra Group Inc. With me today on the call are Mark Becker, our CEO; and our Board Chair, Bill McFarland, who will provide some brief introductory comments. After a brief presentation, we will take questions with the call ending by 9:15 Eastern Time. We will be commenting on our Q1 2025 results with the assumption that you have read the Q1 earnings press release, MD&A and financial statements. The slide presentation, which supports today’s comments is posted on our website, and we encourage participants to access the slides and follow along with our presentation. Before we begin, I would like to make some comments about forward-looking information. In yesterday’s news release and on Slide 2 of the presentation that we have posted on our website, you’ll find cautionary notes in that regard. I will not cover the content of the cautionary notes in any detail. However, we do claim their protection for any forward-looking information that we might disclose on this conference call today. I will now turn it over to Bill McFarland for his introductory comments.
Bill McFarland: Good morning. Thank you, Denise, and thank you to everyone for joining the call. Q1 2025 saw continued strong execution of Dexterra’s business plan. Management also spent time meeting with investors in Q1 to communicate our story and the feedback was very positive. We have a more focused and streamlined business, a very strong balance sheet and strong free cash flow, a resilient business, which is important in light of tariff uncertainty and other global economic risks, which gives us future flexibility to take advantage of market opportunities. It was also good to see our share price continue to react positively with an increase from December 31, 2024, of 10% despite lots of market volatility. With that overview, I would like to now pass it over to Mark Becker for some detailed comments on the Q1 2025 results, and we are also hoping you will be able to attend our AGM later this morning, where we’ll be presenting more information on our strategy. Mark, over to you.
Mark Becker: Great. Thanks very much, Bill, and good morning to everyone. Always pleased to report another good quarter in Q1, another strong quarter for Dexterra with robust activity levels, strong margins all across the business, including over $25 million in adjusted EBITDA, which is a 28% increase over Q1 in 2024. Our results in the quarter were driven primarily by high occupancy at new camps that were mobilized in the second quarter of last year and a full quarter contribution of CMI Management, which is our IFM services acquisition in the U.S. that we closed in February of last year. Cold weather early in the quarter this year resulted in slightly lower demand for access matting that partially offset these positive increases. Our strong operating performance allowed us to achieve our target return on equity of 15% in Q1. Also in the quarter, we returned $13 million to our shareholders through our dividend of about $5 million and share buybacks of about $8 million. As Bill noted, our continued positive performance as well as the shareholder returns has been positively reflected in our share price in Q1 despite what we’ve seen is a lot of recent market turbulence. All of this is consistent with our business strategy and focus on building a sustainable business for the long term while delivering strong returns to shareholders and all stakeholders. So turning to Slide 6 and speaking in more detail on the business segments, starting with Support Services. For Q1 2025, revenues from support services were $199 million, which is an increase of 7% over Q1 of 2024, and adjusted EBITDA for the quarter was $19 million, which is 24% higher than Q1 of 2024. The increase in revenue and profitability is attributable to higher occupancy at camps mobilized in Q2 of last year, as I mentioned, and a full quarter contribution from CMI as well as the continued strength in facilities management at margins above 6%. These increases were offset by lower project activity compared to the same period last year. Adjusted EBITDA margins in Q1 of 9.5% compared to 8.2% in Q1 of last year and was a result of business mix with higher camp occupancy in Q1 of this year contributing to this improvement. The Q1 margins were consistent with Q4 of 2024 of 8.8%. And over the long term, we expect margins in this business to continue to exceed 8% as the IFM business grows. Compared to Q4 of 2024, support services revenue decreased by 4% as certain facilities management project activity that we had in Q4 was completed. Adjusted EBITDA increased by 4% in Q1 over Q4 of last year as a result of the business mix with higher occupancy at camps offsetting lower facilities management product activity. Our pipeline of new sales opportunities remain strong in all areas of support services, including integrated facilities management opportunities on both sides of the border. Additionally, we remain active on identification and evaluation of IFM acquisition targets. Moving on to Asset Based Services on Slide 7. Revenue from this business segment for Q1 of 2025 was $41 million, which was similar to Q4 of last year and compared to $46 million for the same period Q1 of 2024. This increase in Q1 revenue compared to last year is primarily a result of lower access matting activity due to cold regional temperatures early in the quarter, as I previously mentioned. Matting utilization has since returned to more typical levels in Q2 of about 90% as we’ve transitioned now into spring breakup. Our access matting business is focused on the Montney, Duvernay region, which is an active area in liquid-rich natural gas production supporting West Coast LNG. Camp Equipment utilization also remained strong in Q1 at over 90%, and all indications point to that continuing through the balance of the year. Q1 2025 adjusted EBITDA of $13 million and margin of 33% was similar to Q4 of 2024 and higher compared to $10 million and about 22%, respectively, for Q1 of 2024. This increase is primarily the result of the margin differential between higher camp asset utilization in Q1 compared to project mobilization-related work in Q1 of 2024. Looking forward, we expect adjusted EBITDA margins in 2025 in this segment to be in the middle of the range of 30% to 40% as our mix of business is likely to have less project activity in 2025. With that, I will now turn it back over to Denise.
Denise Achonu: Thank you, Mark. I’ll speak about our financial position and the capital markets on Slide 9. Free cash flow for Q1 2025 of just over $1 million was impacted by the delayed collection of a $20 million customer receivable that is being funded by the Canadian federal government, which we expect to collect in May. This will have a positive impact on free cash flow in Q2. On a normalized basis, annual cash taxes are approximately $15 million, and our 2025 tax liability will not be payable until early 2026. Adjusted EBITDA conversion to free cash flow is expected to continue to be above 50% going forward, with Q3 and Q4 experiencing the highest conversions to free cash flow, as a result of the seasonality of the Support Services business. Management of working capital remains a key focus area for us, and we believe that absent the delayed receivable, they are at optimal levels. Net debt at March 31, 2025, of around $82 million was less than 1x trailing 12-month EBITDA and will be lower in Q2 following receipt of the delayed receivable payment. We are managing our balance sheet prudently and have significant unused debt capacity and flexibility under our credit facility for share buybacks and acquisition opportunities. We’re currently renegotiating our credit facility agreement and expect to receive more favorable terms, which will support our growth strategy. In Q1, we repurchased just under 1 million common shares for total consideration of about $8 million under the terms of the NCIB. The Board has also approved the extension of our NCIB program, subject to TSX approval. This will allow us to repurchase up to an additional 3 million shares over the next 12 months. We plan to remain opportunistic with share buybacks in 2025 as we believe our shares are still significantly undervalued. Finally, Dexterra declared a dividend for Q2 2025 of $0.0875 per share for shareholders of record at June 30, 2025. I will now turn it back to Mark for closing comments.
Mark Becker: Great. Thanks very much, Denise. Turning now to our outlook and plans forward, Q1 has definitely been a positive momentum build for the start of the year this year. The impact of trade tariffs is something that we have been closely monitoring and working to proactively mitigate the potential impacts. As a service-based company, Dexterra is largely naturally insulated from the direct impacts of trade tariffs as our labor and a large majority of our supply commodities are domestically sourced. For food, chemicals and other commodities that we’ve historically been sourced cross-border, we’ve been active over the last few months addressing our supply chain sourcing and domestic alternatives among other mitigation strategies. In sum, we expect that we can substantially mitigate the direct impact of trade tariffs on the direct impact to the Dexterra business on the assumption that North American economy does not experience a significant recession or significant broad inflationary pressure. We continue to monitor economic and industry indicators very closely as well as staying closely connected to our clients. At this time, we’re not seeing indications of changes to industry activity levels or client plans for the balance of 2025. We have a strong pipeline of new sales opportunities in all areas of our business. We have seen some delays in contract awards that has moderated the pace of new sales growth so far this year. We expect these delays may continue until business uncertainty subsides. Our focus is to manage what we can control, and we’ll continue to invest in our sales and pursuit teams, expand our sales pipelines and marketing approaches as well as continuing to deliver value and operational excellence for our clients. In spite of the near-term market uncertainties, we are excited and confident about our path forward. Our strategic focus remains the delivery of strong profitability, consistent and predictable results and a return on equity for shareholders of 15% or greater. The key to achieving this return on equity will be through continuing to deliver profitable organic growth and identifying accretive acquisitions that provide integrated facility management capability, technology and scale for the long-term growth of the business. Our capital allocation priorities remain intact, each of which is an important pillar in our long-term strategy. This includes maintaining our current dividend level, supporting sustaining and selective high-return capital investments staying opportunistic in share buybacks under the NCIB and identifying accretive acquisitions that are consistent with our strategy of building a larger capital-light support services business for the long term while continuing to support our market-leading asset-based services business. This concludes our prepared remarks, and I will turn the call back to Chuck for the Q&A portion of our call.
Operator: [Operator Instructions] And the first question will come from Chris Murray with ATB Capital Markets. Please go ahead.
Chris Murray: Yes, thanks guys. Good morning. Mark, very strong performance in the Support Services group despite what would be maybe a kind of a cold quarter, things like that. And in the MD&A, you also talked about keeping that EBITDA margin above 8% on a go-forward basis. Can you guys talk about the sustainability of that margin at this particular point, if there is anything in the quarter that maybe skewed it higher than normal? Because above 8% when you’re 150 basis points above it, it just feels like there is a pretty big gap there. So just maybe some color on how you’re thinking about that on a go-forward basis as we get used to the new segmentation?
Mark Becker: Yes. Thanks for the question, Chris. And yes, I think we have seen, as you said, margins in support services were pretty strong in Q1. And a lot of that, as we talked about, really related to high camp occupancy that we had in Q1. We had some large contracts mobilized in Q2 of last year. Those are all fully on stream in Q1. So, that tends to contribute to kind of stronger margins that we saw in Q1. I think as we have talked about, mix of business definitely ties in. And I think what we could probably see for the balance of the year is probably – it’s a good start to the year on that front. And I think what we are probably seeing is, some continued strength, perhaps short-term in the 9% range, plus or minus, if you can say it that way. And then vitally important, I guess, Chris, as you say, as we get used to the re-segmented model. Long-term, we are still seeing 8% plus, and we want to kind of stick to that as we add more kind of IFM business to our current mix of business that offsets sort of the asset-based business. But I think short-term, kind of 9% plus or minus is probably not a bad target.
Chris Murray: Okay. And then the other question I had, and you sort of talked to it a little bit is, a lot of the business leaders we have been talking to, there is a lot of uncertainty out there, almost record levels. And certainly, it seems to be changing day-by-day. Can you talk a little bit about what you are hearing from some of your customers in terms of their expectations and how they are thinking about the world? And can you also maybe walk us through sort of lessons learned and what might be different this time if we do get into a recessionary scenario or a higher inflation scenario and what to expect the levers that you can pull in order to kind of maintain margins as we go through something like that?
Mark Becker: Yes, for sure. And pretty active for us. As I mentioned in my remarks, we stay very close to our clients, obviously, industry indicators, but staying very close to our clients. I think what we are seeing is a product of our diversity and our diversification within the business. If you look at where we have been in the last few years in terms of, call it, natural resources, energy, but now expanding into mining almost on the same significant basis as energy, infrastructure, our power infrastructure projects, other infrastructure projects that we are doing. That does help us. And everybody is talking about kind of uncertainty as we go along here. But again, we are just not seeing where – where we are seeing negativity around the plans or may be not negativity, say it this way, a change around detailed plans or specific plans for the balance of the year. Things like being in the Montney and as we talked about, that does have an LNG focus connected to develop there, feeding LNG on the West Coast. The West Coast LPG projects that we are working on out there. Mining is still staying very, very strong in the natural resources space. And we do see infrastructure projects continuing on. So, we don’t really see kind of detailed change of plans. And then, of course on the facility management side, we do still see a lot of stability, and that’s kind of the nature of that business being a lot more tied to assets and maintaining assets and supporting assets. So, that tends to be a bit more stable even in the face of uncertainties. Your question around inflation lessons learned, I think I have mentioned this on other calls as well. I guess coming out of the post-pandemic hyperinflation, we did learn a lot of things about how to manage when you run into high inflationary environments. And as I think I have mentioned other times, certainly, our contracts, I would say are in good shape related to terms and conditions as much as we can possibly build in around CPI adjustments, other terms around pricing adjustments that we try to build into our contracts, a majority of which has those kinds of terms. And I would say, probably, since the last time we went through hyperinflation, we have reinforced that. And then I just think our ability and even – most of our clients are long-term clients and going through the conversations, unfortunately, they are used to having it because we only had it 2 years or 3 years ago, but that kind of protocol. So, I would say our team, we feel really ready for that. And we would probably take advantage of some of those lessons learned that I talked about contract terms and just being able to manage adjustments with our clients.
Chris Murray: Got it. Thanks. That’s helpful. I will leave it there.
Operator: The next question will come from Frederic Bastien with Raymond James. Please go ahead.
Frederic Bastien: Good morning and good results, guys.
Mark Becker: Thanks very much Fredric.
Frederic Bastien: Just building on that earlier theme, can you remind us how big your camps business is today? And how much of that is exposed to mining versus oil and gas versus infrastructure versus others, just curious how big of a business that is now today? Thank you.
Denise Achonu: Sure. Good morning Frederic. So, in terms of revenue, it’s about $500 million in terms of revenue from the camps business, just speaking specifically to the support services aspect of it. Then in terms of kind of mining, mining is about, I would say, about 10% to 20% of it. And then oil and gas is about more in the range of 20% of our support services of that $500 million. And then the balance, there is infrastructure, as Mark mentioned as well, power lines, etcetera.
Frederic Bastien: And just recognizing that you don’t really provide backlog information, how much visibility do you have on that business. Yes, just curious, are we talking about 6 months, 12 months? Is it 2 years? I am sure it’s a mix of everything, but yes, if you could provide a bit more color on that. That would be great. Thanks.
Mark Becker: Yes, for sure. And I think you kind of said it right. It’s a mix of everything. And if you look at how we are managing things these days, like we are kind of fairly diversified across segments of business and lines of business as well. So, we kind of manage our pipelines. We have focused teams in different areas of the business, including a focused team, pursuit team around IFM. I would say rather than kind of trying to quote numbers across those different approaches, Frederic, I would say, if you kind of look at our pipelines, which does kind of go up and go down, I would say, generally across all our businesses, our pipeline of opportunities is very strong. Our hit rates are achieving where we would like to be around hit rates of 30% plus. So, I think if you do the math around kind of what our – size of our pipeline, our hit rates and equaling kind of what we would expect in terms of organic growth across the businesses, the math kind of hangs together in terms of being able to deliver our organic growth rates that we expect.
Frederic Bastien: Alright. Thanks. I have one more, but I will let others go first. Thank you.
Operator: The next question will come from Zachary Evershed with National Bank Financial. Please go ahead.
Zachary Evershed: Good morning everyone and congrats on the quarter.
Mark Becker: Great. Thanks so much.
Zachary Evershed: Could you walk us through the mentioned enterprise IT strategy investments and what areas of improvements being targeted there. And then maybe bridge that to how it’s impacting corporate costs, which have been rising for the last 24 months.
Denise Achonu: Good morning Zach. So, just – obviously, we are a support services business, so people are a significant portion of our costs, and it’s important we are able to manage them efficiently, our labor cost efficiently. And so we have been looking at what we call our workforce management system, also HCM, so human capital management system. Right now, we are in the process of scoping something out. So, it’s early days in terms of talking costs, but really, this is an investment that is important for us to make in order to scale the business from an enterprise perspective. The other piece of our technology strategy is around client-facing technology, and customer-facing technology that we are making investments in. Again, just in terms of being able to deliver better customer service, data insights to our customers. And so that’s really key in us being able to offer operational excellence to our clients as well. So, hopefully, that gives a little bit more color in terms of our costs.
Mark Becker: Well, the only thing I would add to that – this is a topic for – definitely for Denise and we work on it quite a bit. We have got actually within the last year, we have hired a new technology leader that’s working across the business on the things that Denise talked about. I think I would say, and we will keep the market well informed about this as we kind of go forward. I would say, we are going to be very prudent about this. I think we are very clear in our priorities around technology and where we are going to see the biggest bang for our buck. And then looking at what those investments, the size of those investments, affordability within the overall size of our corporate costs, that’s a big topic, and we want to take a fairly prudent and controlled approach on our technology investments. But suffice it to say, expect to see more news on that and expect to see us talking about that more in the near future for sure.
Denise Achonu: And just in terms of thinking about cost for the balance of 2025 right now, it would kind of be in the range that you are seeing for Q1 as a percentage of revenue.
Zachary Evershed: Good color. Thank you. For my second question, given what you are seeing in the fall in oil prices, any concerns around falling demand for any of your remote support services?
Mark Becker: Yes, definitely good question, Zach. And I think I kind of alluded to this on one of Chris’ questions. If you look at where we play, again, I talked about Montney gas, we work with the big players that are producers in the Montney, Northwest Alberta, Northeast B.C. that are providing ramp-up volumes for LNG Canada, which is ramping, start-ups ramping this year. They are still planning on – and we again, with all the uncertainty, we talk to them quite frequently. No plans that we are seeing for the balance of this year. So, we are seeing strength in that area. The LPG projects, even the LNG projects, Cedar LNG, etcetera, we are still connected into those, and they are still moving forward on the West Coast. And even the oil sands space, those are large contracts for us. And oil sands, big mega capital investments. And if you look at previous kind of energy cycles, you will tend to see our lodges really support the operating plants and the operating people related to those sites. You tend to see them continue to operate and kind of on a generating cash flow basis for themselves kind of no matter where the price is. You might see them delay a little bit in terms of activities, but they tend to continue to produce because they are kind of wanting to generate cash flow no matter what the oil price is. So. I mean that would be the context I would give. I think we are happy where we are and where we are playing specifically because there are some good specific ties to what we are seeing in terms of activity levels. But we are going to kind of continue to really monitor closely and how that plays out.
Zachary Evershed: Thank you very much. I will turn it over.
Operator: [Operator Instructions] As there are no further questions, this concludes the question-and-answer session as well as today’s conference call. You may now disconnect your lines. Thank you for your participation and have a pleasant day.
Denise Achonu: Thank you, Chuck.